Jon Stanton: Good morning, everyone, and welcome to Weir's 2025 Full Year Results Presentation. Before we start, I would like to draw your attention to the usual cautionary notice on forward-looking statements. We've found a very strong year. So there's a lot to cover today. I'll start with introductory remarks, then Brian Puffer, our CFO, will present the financial review. I'll then return to cover our strategic progress during the year and our outlook for 2026. And after the presentation, both Brian and I look forward to answering your questions. So beginning with our equity case, we is delivering on the sustainable growth and shareholder returns that we promised. We are today is a focused technology partner to the mining industry with market-leading hardware and software solutions, both of which leverage our secret sauce of mission-critical technologies and unmatched customer intimacy to deliver a unique value proposition protected by high barriers to entry. We are poised to benefit from multi-decade favorable market demand tailwinds for critical minerals while the adoption of new technologies to enable sustainable mining will only boost the potential opportunity set available to Weir. And as we now pivot our focus to growth, we are driving returns with strong through-cycle organic growth excellent execution and compounding M&A. With the platform we now have in place, there is significant potential for incremental value creation. Turning to our results. In 2025, we delivered a strong financial performance, reflecting Weir's market-leading technology and deep customer relationships. We successfully navigated the uncertainty arising from tariffs and global supply chain disruptions, leveraging the flexibility creates in our operational footprint to provide seamless service to our customers. On revenue, our strong operational performance delivered 6% constant currency growth year-on-year. This performance reflects a combination of high demand in the aftermarket, flawless execution on our OE order book in the fourth quarter and contributions from acquisitions completed in the year. We expanded our operating margins by 150 basis points, exceeding our target of 20% a year earlier than expected reflecting both the success of our Performance Excellence Program and the quality of our new software solutions business. We once again delivered against our free operating cash conversion target of 90% to 100%, supported by a disciplined operational performance and the maturing of our Weir business services functional capability. We grew our constant currency operating profit by 15%, significantly ahead of last year, and underpinning another year of predictable dividend growth. And finally, our absolute Scope 1 and 2 emissions are down 31% now against our 2019 baseline, putting us ahead of our original 2030 SBTI target for a 30% reduction. On top of our strong financial performance in 2025, we also made significant strategic progress in advancing our growth strategy with meaningful self-funded acquisitions and partnerships in digital, geographic expansion and product extensions. As we continue to integrate these businesses into our One Weir platform, all transactions are performing well and expect to generate returns well above our cost of capital. Together with several new product launches, we've considerably expanded our addressable market of mission-critical solutions and created a unique technology proposition to the mining industry. In summary, 2025 was an exceptional year for Weir, and our achievements reflect the dedication of my outstanding were colleagues around the world. whose commitment to our customers and passion for our purpose underpins our success to date and who are more excited than ever about what we can deliver in the future. I'll now hand you over to Brian to take you through our financial results in more detail.
Brian Puffer: Thank you, John, and good morning, everyone. As John just mentioned, we are delighted by the operational execution from across the group during 2025, which is evidenced in our strong financial results. During the year, orders increased by 7% to GBP 2.6 billion, supported by our high level of demand for our market-leading products and strategic acquisitions. Original equipment orders were unchanged year-on-year, reflecting positive underlying demand for mine site expansions and debottlenecking solutions, offset by the phasing of large greenfield projects. Aftermarket orders grew by 8%, supported by high mining activity levels and contributions from acquisitions. Revenue increased in kind by 6% to GBP 2.6 billion reflecting strong execution of our order book, particularly in the fourth quarter. Original equipment revenue increased by 2% from shipments of medium to large projects in Minerals as well as smaller brownfield optimization and debottlenecking projects. Aftermarket revenue grew by 8%, supported by hard rock mining production trends which drove demand for wear parts and expendables across both divisions. Operating profit increased by 15% year-on-year to GBP 518 million, resulting in operating margins of 20.2% and an increase of 150 basis points. This strong performance reflects both incremental performance excellence savings and contributions from our acquisitions in software solutions, which I will cover in a moment. Profit before tax of GBP 447 million was GBP 19 million ahead of last year despite a GBP 22 million translational FX headwind. Growth in profit delivered a 3% increase in EPS for the year to 123.8p per share. Turning to cash. We're free operating cash conversion of 92% was within our target range of 90% to 100%, reflecting an increase in profits, offset by higher working capital due to a buildup in inventory prior to the closure of some of our operations as part of Performance Excellence as well as the impact of U.S. tariffs on our year-end inventory balances. As expected, following significant acquisition activity in 2025, net debt-to-EBITDA increased to 1.9x toward the top end of our range following acquisitions. Return on capital employed likewise decreased by 140 basis points to 17.9%, though still well above our cost of capital. Taken together, our strong financial performance in 2025 underpins our full year dividend of 41.7p per share, a 4% increase from last year. Turning to results in each of our divisions, starting with another strong performance for Minerals, which included the launch of new technologies to expand our addressable market, the completion of the Townley acquisition and the delivery of several key performance excellent work streams, which supported further margin expansion. Market conditions are positive with gold and copper prices reaching all-time highs and driving strong demand as customers sought to maximize production from existing assets. Mineral orders grew by 5% in the year, original equipment orders were stable, reflecting a lower level of large orders as expected. Excluding these projects, orders increased by 7%, highlighting the positive underlying growth in small- to medium-sized projects. In aftermarket, orders grew by 7%, supported by our expanded installed base, higher demand for pump spares and communation parts. As well as orders from Townley during the 4 months of our ownership post completion. Revenue increased by 6%, reflecting original equipment product shipments, positive mining market trends and a contribution from Townley. Aftermarket revenue grew by 7% supported by strong performance in North and South America and underpinned by positive hard rock mining production growth in these regions. Operating profit increased by 11% on a constant currency basis to GBP 406 million with performance excellence work streams and operational efficiencies, delivering further margin expansion to 21.9%. And an increase of 100 basis points. Our ESCO division delivered an excellent performance with growth in core GET products, expansion of the installed base of Motion Metrics solutions and further operational improvements in the division's foundry network. Orders grew by 11% with strong demand for our core GET products in mining and infrastructure markets, partly offset by normalized demand for dredge solutions. Excluding the GBP 44 million contribution from Micromine, like-for-like growth was 4%. Revenue was stable on a like-for-like basis, reflecting strong underlying aftermarket growth in core GET markets and Motion Metric Solutions, offset by the phasing of mining bucket deliveries, which impacted original equipment revenue. Total divisional revenue increased by 6%, including 41 million for Micromine. Operating profit increased by 22% to GBP 152 million with margins expanding 260 basis points to 21.4%, reflecting a contribution from Micromine of 120 basis points and incremental Performance Excellence savings. While the financial performance of Micromine is included within ESCO, we committed to update you on the key business operational metrics, which drive value post acquisition. In Micromine, customer retention increased to 94% with low churn supported by our semiannual product updates and world-class support. Recurring revenue for the year grew to 88% and as expected, annual recurring revenue grew 24% on an annualized basis. Turning to operating margins, which increased 150 basis points year-on-year to 20.2% and including a 10 basis point headwind from translational FX, primarily reflecting the deflation of the U.S. and Australian dollar. The key driver of margin expansion in the year were a marginal shift in minerals revenue mix towards aftermarket resulting in a 10 basis point tailwind. Incremental savings from our Performance Excellence program of 140 basis points highlighting the compounding benefit of the program with cumulative savings now at GBP 59 million. Initial benefits from our acquisitions in the year contributed 30 basis points as expected. And a 30 basis point headwind from increased R&D investment, supporting new product launches and material science advances consistent with our policy of investing 2% of sales and R&D. Taken together, these factors resulted in margins of 20.2%, achieving our goal of 20% margin a year early with more to come. Adjusting items totaled GBP 73 million for the year with costs relating to exceptional items of GBP 47 million. Costs across the 3 pillars of Performance Excellence program were GBP 45 million pounds, bringing the final total program costs to GBP 113 million below our previous guidance. Acquisition and integration costs were GBP 22 million, including GBP 5 million arising from the unwind of the fair value uplift on inventory for Townley. During the year, the U.S. entity, which held asbestos-related claims enter Chapter 11 bankruptcy proceedings and has subsequently been deconsolidated. We believe the remaining provision to be sufficient to cover future exposures with no further charges related to this provision expected. Other adjusting items reflect normal amortization of acquisition-related intangibles, which increased as expected and charges associated with asbestos provision to the date of bankruptcy. Turning to returns, where adjusted operating cash decreased by GBP 25 million to GBP 566 million, reflecting increased working capital outflows due to phasing of safety inventory supporting our Performance Excellence activities and large original equipment order deliveries, both of which we expect to unwind as operations rebalanced across our platform in the coming year. Working capital as a percentage of sales increased by 170 basis points to 22.4%. Though as mentioned, we expect to return towards our 20% target as our operations normalize. CapEx was marginally lower year-on-year at 1x depreciation compared with 1.1x in the previous year, while free operating cash conversion decreased slightly to GBP 475 million resulting in free operating cash conversion of 92% within our target range for the year. Turning to liquidity, where free cash flow decreased to GBP 267 million, reflecting higher tax payments increased finance costs and outflows related to settlement of financial derivatives in relation to our refinancing activities. Following the self-funded acquisitions of Micromine, Townley and Fast2Mine and the strategic investment in CiDRA Net debt-to-EBITDA was 1.9x on a lender covenant basis within our target range following acquisitions. Jon will provide more detail on our 2026 outlook later in the presentation. Though this slide sets out some key modeling considerations for the year ahead, including: First, we expect net interest cost to be GBP 90 million, reflecting our acquisition and refinancing activities in 2025. We expect CapEx and lease spend of around 1.3x depreciation as we look into making investments in our foundries as well as the start of a company-wide SAP S/4 implementation. We remain on track to delever at pace and expect to return towards our normal operating range of 0.5 to 1.5x by the end of 2026, supported by a free operating cash conversion of 90% to 100%. We anticipate exceptional cash costs of around GBP 25 million to GBP 30 million, primarily relating to acquisition and integration costs from our M&A activity in 2025 and from the completion of final Performance Excellence related products. And finally, we expect our effective tax rate to be 28%, in line with the current year. As we look ahead, we have taken decisive actions to address legacy balance sheet exposures, positioning Weir with a stronger and cleaner balance sheet as we pivot our focus to delivering growth. As mentioned earlier, we have deconsolidated the U.S. entity containing asbestos provision and expect the existing provision to be sufficient to cover any future exposure. In addition, our defined benefit pension schemes have gone from a circa GBP 100 million deficit to a funded surplus making the need for any future special cash contributions unlikely. And finally, as we enter the final year of our Performance Excellence program, we have increased our total savings target to GBP 90 million. By the end of 2025, we have expensed all program-related costs totaling GBP 113 million below our previous guidance. Going forward, we will continue to incur acquisition and integration costs as we convert our M&A pipeline, which will drive amortization from related intangibles. In future, this means we will have a simplified exceptional items. Improving the quality of our earnings and the consistency of our cash generation. To summarize, mining markets remain supportive with high levels of activity in our core mining markets as our customers deliver on the growing demand for critical metals. With ongoing expansion of our installed base, combined and contributions from acquisitions, we see a strong underpin for future demand for our aftermarket products. In 2025, we executed strongly delivering revenue and margin growth while executing on our Performance Excellence program ahead of schedule and under budget. Cash conversion remained within our target range, and we delivered another increase to our full year dividend. We completed the acquisitions of Micromine, Townley, and Fast2Mine, and while we expect some additional costs arising from refinancing of this acquisition activity, these investments will be accretive both to growth and margins. Our strong cash conversion will support deleveraging at pace and our strong clean balance sheet is positioned for growth. Overall, we delivered a strong financial performance in the year. And as we move through 2026, we have strong momentum across the group and are confident in delivering another year of growth. Thank you, and I will now hand back to John.
Jon Stanton: Thank you for that, Brian. Now turning to our business review. I'll share more details on our strategic progress in the year and set our view of market conditions and the outlook for 2026. Starting with our Weir strategy where our pillars of people, customer, technology and performance are fully embedded throughout the organization with top to bottom alignment on our priorities across our global team. At our Capital Markets Day in December, I presented our refreshed framework, acknowledging the opportunities and challenges which come as were continues to evolve. Going forward, our strategy specifically reflects the adoption and utilization of AI, the opportunity we create through mining industry thought leadership, our capability to deliver transformational solutions to our customers and our capacity to leverage lean operations and high-quality and efficient global business services. As I mentioned in my introductory remarks, in 2025, we made significant progress on advancing our growth strategy in digital, geographic expansion and product extensions evolving our business in line with our clear capital allocation policy. So taking each in turn, on digital, we accelerated our strategy by embarking on our mission to create a global leader in mining software solutions with Micromine, Fast2Mine and Motion Metrics, we've created a market-leading end-to-end offering, and 2026 is the year of bringing it all together. Progress-wise, the integration of Micromine is complete. Fast2Mine has started very strongly in pursuit of the 1-year earnout. Motion Metrics has officially now moved into the software segment within ESCO. With this platform, Weir will connect domain knowledge in extraction and processing with upstream data to drive unique customer insights and drive productivity at a time when the industry needs it the most. Our cross-selling pipeline continues to build. And I'm really encouraged by the great collaboration going on between our hardware and software businesses as we leverage their collective strengths to grow faster. Turning to our geographic presence. We made several investments enhancing our footprint in some of the world's fastest-growing mining regions. The acquisition of Townley strengthened Minerals presence in North America, adding more phosphate exposure and completing our global foundry capacity plans for the division. Sales and marketing integration is now well underway. And we're focused on incorporating the Florida foundry into our Zero Harm safety culture with investments already made in upgrading the physical environment. Earlier this week, we announced the completion of our acquisition of the remaining share in ESCO'S Chilean joint venture ESEL, strengthening ESCO's ability to serve customers across South America and bringing more foundry capacity in-house. Between signing and completion, the ESCO team has worked tirelessly with great support from Elecmetal, to prepare customers for the transition and set up our own sales and logistics capability in Chile which leverages the existing minerals footprint. This means we're ready to hit the ground running on completion this week. And at the Future Minerals Forum in January, we signed a joint venture agreement with Olayan a powerful partner in Saudi Arabia, marking a significant step forward, which positions were for growth in this rapidly expanding mining and metals market. We're delighted to have Olayan as our partner again, following our previous successes in oil and gas. But finally, we invested in filling product gaps in our future-facing mill circuit solution. Just as we did with ENDURON and ELITE screens, we have in-house developed the ENDURON vertical stirred mill with novel proprietary features, offering course, fine and regrind capabilities with dramatically lower energy costs than ball mills. We've already received our first VSM order, generating an important reference for the new technology. In addition, we signed a global collaboration agreement with CiDRA to commercialize their new P29 separation technology, which offers improvement in throughput of over 40% compared to traditional grinding circuits. Like our other flow sheet solutions, P29 is modular meaning it can be retrofitted onto existing sites to improve productivity as well as form the core technology to future greenfield flow sheets. Now moving back to progress on our organic strategy where, in 2025, we is leading with real purpose in promoting the sustainable and efficient delivery of critical resources. For example, in November, we launched our newest industry report untapped which is driving new conversations about water and mining with our leading thinking, technological expertise and broadened flow sheet offering, we're strongly positioned to support the industry in a shift to more strategic water management. While delivering technology for our customers to meet their sustainability challenges, we're also delivering a more sustainable wear, inclusive of recent changes to our foundry footprint and expected market growth, we still expect to meet or exceed our Scope 1 and 2 emissions reduction target of 30% as a group by 2030. Externally, we have retained our A score for climate transparency from CDP for the fourth consecutive year and along with our updated climate transition plan, we continue to advocate for the right frameworks to drive progress in the heart to abate mining industry. Turning to our people pillar. We continue to create a safe and purpose-driven workplace for all colleagues. On safety, our ambition is 0 harm. But in 2025, we fell short as our total incident rate increased over the prior year. Encouragingly, through focus on leadership and best practice, there has been a reduction in the number of recordable incidents in the second half of the year, and we're committed to maintaining this momentum through a broader strategy refresh in 2026. We continue to invest in creating an inclusive environment where people can do the best work of their lives. Employee engagement remains high with our Net Promoter Score of 49% in the top 10% of manufacturing companies globally as benchmarked by Peakon. Within Software Solutions, our full year employee retention rate of 87% reflects the success of the integration program at Micromine. External recognition continues with Weir ranked in the top 10 of Britain's Most Admired Companies and achieving Tier 1 status in CCLA's Mental Health Benchmark for the first time alongside only 9 other companies. For me, the real highlight of the year that demonstrates the strength of Weir's culture has been the collaboration on cross-selling software solutions through our global footprint. Early signs have been very encouraging with war introductions to several Tier 1 miners leading to many new opportunities, our first license sales and a strong pipeline of additional opportunities developed for 2026. Turning to our customer pillar, where our GBP 40 million order to provide tailings solutions to Codelco in Talabre, Chile illustrates both our proven experience on large-scale, sustainable trainings operations as well as the importance of local presence, delivering the world-class service were is known for. We are delivering on our digital vision, our commitment to annual upgrades and software features such as fully integrated stope optimization with advance underpins micromine market-leading recurring revenue growth and customer satisfaction. Motion Metrics had a great year in 2025 and is now transitioning to the full annual subscription-based service model, which has been so powerful for Micromine. Underpinned by our long-standing relationships with customers, and our technological leadership, Minerals continues to gain market share in large mill circuit pumps, converting over 90% of competitive field trials during the year, consistent with our historical success rates. Likewise ESCO grew its market share in core mining markets, completing 159 net major digger conversions, an increase in successful conversions of 18% versus the prior year. While ESCO continues to be the clear market leader in the mining GET market globally, we have the opportunity to leverage the brand to access new opportunities through our attachment strategy. Working directly with our customers, we designed a production master, a new highly engineered hydraulic shovel bucket that is more robust in key areas of where allowing longer cycles between maintenance. Our direct-to-customer approach has led to exceptional growth in Australia. In the past 3 years, ESCO has increased bucket sales in this key market by 700% with more to come. Turning to the technology pillar where we continue to invest in our core hardware solutions as part of our growth strategy, maintaining our market leadership across the mill circuit, Minerals released new ENDURON crushers and next-generation mill circuit pumps delivering higher productivity, reduced downtime and lower carbon emissions for our customers. Our next intelligence solutions are transforming how we create and capture value as customers focus on increasing throughput and minimizing unplanned downtime. We have onboarded over 110 customer sites over the last 3 years, and in September, we announced a new strategic partnership with Viking Analytics to enhance our digital wear monitoring solution with AI-enabled early predictive wear detection. In ESCO, we recently launched Vertesys, our next-generation GE system for infrastructure markets, which provides an increase in wear-life and reduced adaptive change time which building on NEXUS in mining reduces operational downtime and total cost of ownership for our customers. By continuing to innovate, we are further pushing the boundaries of slurry pumping at Teck, Highland Valley Copper. We built our relationship on the existing concentrator line around other installed products. The customer wants a higher output and less downtime, initially relying on next intelligent solutions and support from our nearby Kamloops service center as a result of our demonstrated service and technology leadership, we were invited to trial our MCR 760, which is now the largest story pump working in North America ultimately displacing a long-established competitor on site. Turning to the performance pillar, where we've upgraded our final cumulative performance excellence savings target by GBP 10 million taking us to GBP 90 million overall. With final total cost for the program of GBP 113 million, GBP 7 million less than our prior estimate, the program has delivered an excellent return on investment and build continuous improvement capability that will keep delivering efficiencies going forward. Each area, capacity optimization, lean process and GBS has overachieved repeatedly with minerals, ESCO and corporate teams working together seamlessly. As we enter the final year of delivery, we can reflect on a highly successful program which has not only underpinned our operating margin expansion, but also created a scalable platform that will enable future growth for many years to come. So now looking ahead, Activity levels in our core mining markets remain strong, with customers increasingly investing in expansion and debottlenecking CapEx as supply deficits in critical minerals emerge. This shift is driving positive policy developments in key jurisdictions such as the United States and Chile, where permit and licensing regulatory frameworks are being reconsidered to allow new projects to develop faster. Meanwhile, engagement among our mining customers and ePCMs on technology and innovation is encouraging as the need for new and better solutions the challenges of significantly increasing capacity in the near term become ever more apparent. Additional demand drivers such as AI, defense manufacturing reshoring will further underpin growth in ore production. Faced with declining ore grades and growing geological complexity as the best resources are mined, customers are putting more stress on their existing equipment, leading to more maintenance events. Together with our growing installed base, current market conditions are supportive of increasing need for our spares, expendables and services. So turning to our outlook for the year ahead. We entered 2026 with a strong opening order book and expect to see increasing CapEx, which will support OE growth. In the short term, we see a continued bias to brownfield projects with the potential for larger expansion projects to accelerate, although as ever, the timing is difficult to predict. Demand for our aftermarket spares and expendables is strong. Coupled with modest price increases, we have a solid foundation to deliver another year of mid-single-digit growth in aftermarket revenue while our software businesses remain on track to deliver further strong growth in line with our acquisition expectations. So overall, we expect another year of growth in revenue and operating profit with 50 basis points of operating margin expansion. While we've upgraded our final Performance Excellence savings target, we expect some portion of the benefits to be reinvested in R&D and IT systems, specifically a final investment in a single instance global ERP key to unlocking another level of future operational efficiencies and margin expansion. Finally, we expect improvements in working capital and result in free operating cash conversion of between 90% and 100% consistent with our medium-term guidance. So putting together today's key messages. We delivered a strong operational performance in 2025, reflecting flawless execution of our order book, robust aftermarket growth and contributions from acquisitions completed in the year. We made significant progress in advancing our growth strategy with meaningful self-funded acquisitions and partnerships in digital, geographic expansion and product extensions. We continue to deliver our Performance Excellence program at pace, delivering savings to date of GBP 59 million and upgrading our final target to GBP 90 million in total cumulative savings. In '26, we expect to deliver another year of growth and margin expansion supported by a positive market outlook. And finally, we're delivering all the above in the right way, providing our people with purposeful work and personal growth and customers with innovative technology solutions that accelerate sustainability in mining. Looking forward, the long-term value creation opportunity for Weir is even more compelling. We've created a global leader in engineered hardware and software for the mining industry. Demand for critical metals continues to build and customers are increasingly recognizing the need for new, more efficient solutions to unlock future supply. And finally, we're providing a clear pathway to sustain growth and total shareholder returns through a clear capital allocation strategy, sector-leading operating margins and consistently high cash generation. Thank you for listening. And Brian and I will now be pleased to take any questions that you have.
Operator: [Operator Instructions]. Our first question is from Jonathan Hurn at Barclays.
Jonathan Hurn: Just a few questions for me, please. Firstly, can you just sort of explore the sort of the growth outlook for FY '26. So obviously, you're guiding to mid-single-digit growth. That's pretty similar to -- or I should say, mid-single-digit organic growth, that's pretty similar to what you did in FY '25. So essentially, there's no real pickup coming through I mean the question is really what drives that pickup? Is it essentially bigger large orders coming through. And if so, can you just sort of talk us through the outlook for those? And do you feel that they could potentially come through in the second half of this year? Or would it be more FY '27? The second question was just on the topical Reko Diq. Just what you're seeing there, please? I mean, did all the orders get shipped that were scheduled. What's left to go there in terms of OE? And how do we think about sort of the aftermarket revenue there? Obviously, does that get pushed out further on the back of sort of the disruption. And then the third and final question was just on Micromine. Obviously, recurring revenue growth was 24% in FY '25. I think to get that deal math to work on a 3-year basis, that growth rate, I think, has to be higher. So how should we think about that sort of recurring growth going forward, particularly in 2016? Do you think it can accelerate from the 24% that we did in FY '25, please? There are three questions.
Jon Stanton: Yes. Thanks for that, Jonathan. So yes, I think on the growth question, look, stepping back, we're seeing a continuing positive demand environment across the global mining and metals complex. Driving ongoing demand for aftermarket and a consistent level of smaller OE brownfield debottlenecking type projects. So that underpins us being bang in the middle of the fairway on the organic growth across the aftermarket and fairly stable levels of original equipment on a brownfield. We do expect that or we see that the -- I would say, the environment and the backdrop in terms of potential for further growth in CapEx to come through is looking increasingly positive. I would say that -- our large customers are probably more bullish this year than they were at this time last year. There is an appetite, I think, to invest to grow production given the emerging supply deficits, which probably come through quicker than people expected in terms of some commodities and also what's going on politically in terms of government and regulatory interventions to try and free up some of the things that have been robust to the development of greenfield projects. So I think the setup is feeling increasingly positive. But as ever, it's really, really difficult to call when these things will come through. So I think the pipeline is good. We can see the projects out there. But at this stage, it's not really the right thing to do to say, look, we're definitely going to get it this year. We may do. We may sort of see in the latter part of the year a pickup, but we'll call it when we really start to see it coming through. But I think more broadly, the general environment remains highly positive in terms of the demand environment with upside. That's how I'd characterize it. In terms of Reko Diq look, from a balance sheet perspective, we've now delivered and been paid for the HPGRs. So we only got a relatively modest amount left in the order book. that is covered by advanced payments, so -- and cancellation clauses. So we have no balance sheet exposure at all. Clearly, we would love to see that mine get built and the aftermarket opportunity to come through. And we're hopeful that it will do. We note that it's under review at the moment rather than anything more firm than that. We know that the Pakistani government is an investor in the project. So there is a real local interest to build the mine and start the development of the mining industry. And we are actively engaged with that at the political level in Pakistan. So we're hopeful, but we don't know at this point in time and obviously in the event of the weekend at a further, sort of, complication, if you like, to how that may play out. So we'll see. So bottom line is we have no exposure, and we wait and see whether the longer-term aftermarket opportunity will come through. On Micromine, I would say that, yes, I mean, the recurring revenue growth that we outlined is very much in line with the historic performance levels of the business. So where we expected it to be on sort of an organic basis, if you like. And 2025 has been all about us setting up the ability to exceed that growth in terms of leveraging the minerals and the ESCO footprint globally to essentially be able to drive revenue growth above that level. And we're very clear that over the next 3 years, we want to deliver, we need to deliver higher revenue growth than that. '25 has been about the setup. We've now got a great pipeline. We've had our first incremental license sales from a Tier 1 customer off the back of the -- of leveraging the existing platform. So that's working in line with plans. That will come through as we expect, and that will -- as we go through '26, we should see an acceleration in that growth.
Operator: Our next question is from Lush Mahendrarajah from JPMorgan.
Lushanthan Mahendrarajah: I've got two, if that's okay. The first is just on the margin guidance. I mean, 50 bps expansion would be helpful if you just give us sort of quantify the moving parts of pluses and minuses in that. And then in terms of within that, the R&D and IT investment, I know you sort of touched on it, but be interested to hear what exactly you're doing there? And also, I guess, how we should think about that cost as we sort of look forward? Is it -- should we be thinking sort of a continued headwind in the outer years? The second question is just on aftermarket orders. I think the growth was a bit lower in Q4, but I know you have that sort of tough comp from that multi-period order. I guess can you just remind us what the underlying aftermarket was? And I guess, should we be seeing that accelerating from here, just given some of your gold and copper customers are running their sites a bit harder, those are my two questions.
Jon Stanton: Okay. Thanks for that. Well, on the margin point, I'll make an overarching comment and then turn it over to Brian to take you through the moving points. But I just want to remind you, we've been very consistent on the setup for our margins and having achieved what we've achieved over the last few years to get above 20% operating margins. The setup has been very clearly that we want to be a 20-plus a 20%-plus operating margin company, and we're going to have the ability to sustainably stay there through the ongoing benefits of performance excellence and continuous improvement. And within that, we will have the ability to invest in opportunities to develop the business through R&D or other ways. We'll have the ability to deal with any headwinds that may come from a CapEx cycle and therefore, OE kind of margin hit as it were. And in today's quite difficult world, have the ability to weather any bumps in the road that may come along. So that's really how we're thinking philosophically about the business. The other thing I would say in terms of the overarching comments is that clearly, every year, we have outperformed our guidance in terms of operating margin targets in the journey over the last 4 years from middle teens to now north of 20%. So at this point in the year, where we're guiding, we think 50 basis points is an appropriate place to be. We've got a high level of confidence in delivering that. We're quite conservative, as you know, including on our pricing assumptions. We're probably towards the lower end of the range of what performance excellence might deliver. So the 50 basis points is our sort of PAT high confidence level in terms of margin expansion at this point in time. But again, as I pointed out, our track record is that we outperform. In terms of the moving parts as we see them today, Brian?
Brian Puffer: Yes. Well, thanks, Lush, for the question. And the moving parts are actually quite simple this year. They all could change. So mix we're seeing is pretty neutral, not having really an impact. As we sit here today, the FX, we're not expecting a big headwind or tailwind. So there is no real movement in terms of margin. Obviously, we'll have to see how that plays out. So there's really three main levers in the margin bridge. On the positive side, we have a 110 basis point increase for Performance Excellence. As John said, we've increased our guidance from $80 million to $90 million. And we hope to deliver more than that. And so that's what we're actively working on to do. With the acquisitions, we should see a 20 basis points increase in our margins. So that's having a positive impact. And offsetting that is an 80 basis points decrease, and that's the investment that Jon talked about. Both in terms of some new systems that we need to implement and which will deliver further benefits in the future as well. And the R&D type expenses, building out new product lines. And Jon talked about some of the things we're doing in that space in his speech. But obviously, we need to invest in that and to grow. So, that's sort of the slight down on the margins, and that gets us to 20.7%. But as Jon said, that's -- we feel very confident in that number, and our goal is to beat that.
Jon Stanton: Thanks, Brian. And yes, Lush, on the Q4 aftermarkets, look, I'm delighted with the orders that we got in the fourth quarter. It was an incredibly -- probably the highest quarter in terms of aftermarket we've seen, as you say, the comp was tough, and that was because we had the other half of the multi-period order in Q4 last year, which obviously was all recognized in Q2 in 2025. So you add that back and minerals would have been 2 or 3 percentage points higher in terms of its aftermarket growth year-on-year on a like-for-like basis. But again, I think you have to look at the aftermarket performance over the course of the year for both businesses was exactly what we said it would be at the start of the year. We said mid-single digit. Both businesses delivered 5% aftermarket growth. And I was really delighted with the strength of the orders in the fourth quarter. So it means we enter 2026 with a really good order book, and I think that's just indicative of going back to Jonathan's first question. that's indicative of the setup in the markets and the opportunity for growth as we move through into 2026.
Lushanthan Mahendrarajah: And so just to follow up on that, do you think that sort of -- when you think about aftermarket order growth for this year, do you think that sort of mid-single-digit level again? Or the scope...
Jon Stanton: No. I mean I think that's our working assumption at this point in time based on the underlying fundamentals and growth drivers that we see. Again, could it be more than that than absolutely. I mean we're obviously watching events in the Middle East very closely and how that plays out. I don't think it changes any of the fundamentals. But yes, I mean, again, mid-single digit is our sort of high confidence level guidance at this point in time. The setup is strong. Might we outperform and the potential is clearly there.
Operator: Our next question comes from Vivek Midha from Citi.
Vivek Midha: Just a couple of quick ones for me. So the first one is on the free operating cash flow guidance of 90% to 100%. You did highlight some headwinds from the cash costs of the Performance Excellence Program, but also signaling the net working capital sales ratio could come down from a temporarily higher level in 2025. So were those the two key moving parts? Is there any upside risk to your guidance there? My second question is just around maybe the cost implications from higher raw material prices, how are you seeing pricing evolving for your spares and in the broader aftermarket?
Brian Puffer: So thanks for the question on cash. Yes, our cash delivery was 92%, well within our range. There were some headwinds in the fourth quarter. One of the largest ones was with some of our performance excellence, we've been moving operations and closing operations. And one of the things that we pride ourselves on Weir is making sure our customers always have their equipment. And so with these moves, we built up some safety stock at the end of this year, which contributed to higher inventory values. We saw some impact from tariffs on the inventory, and there was just some normal buildup with such a large delivery in you may flip out of inventory, but some of that goes into receivables. So your working capital doesn't go down. So we ended up at a much higher working capital as a percentage of sales in '25 compared to '24, I think it was about 170 basis points. We see that returning to normal, and our goal is to get that back down to around the 20% mark. So there were some one-offs this year that we see normalizing through 2026.
Jon Stanton: Yes. And I would just add to that. If you go back to '24, we delivered 102% where we had benefits of some advanced payments coming through. And this year, we're carrying some extra inventory for the reasons Brian sets out. So we're very, very confident that the business is absolutely capable of delivering the average through the cycle, the middle of that range of 90% to 100%. So we feel really good about that. And again, we've built a track record of now consistently delivering that. On the cost point of view, in terms of our pricing assumptions at the moment, we've built in our expected view of inflation across raw materials and other input costs at this point in time. Obviously, again, there's now a little bit of uncertainty as to whether we might see higher levels of inflation in commodities. Certainly started with the oil price. Does that flow through into some of the other raw materials that we use? Possibly. And again, I just -- I'd refer you back to the track record over the last few years of consistently being able to -- where we see inflation or rising costs managing it well through our network and being able to mitigate to some extent but where we can't, then using pricing to be able to protect our gross margins. And you all know that the gross margins that we earn on our spares on the aftermarket is the real driver of profitability and cash for the business. And we've managed the business on those gross margins, and we've consistently demonstrated that we can do that and maintain or grow those gross margins through pricing. So I think if things change, we have the ability to adjust the assumptions and pass through a little bit more pricing. Just a related Point, I'd comment on at this point, obviously, there's kind of been some new news on tariffs, further twists and turns, but the effect of that on us is pretty immaterial to be honest, and no overall change in terms of what the President Trump latest announcement on tariffs are.
Operator: Our next question is from Andrew Douglas with Jefferies.
Andrew Douglas: All my questions have really been answered, but I will add one, please, to the mix. Can you talk about the M&A pipeline? And your intentions over the next, let's call it, 12, 18 months. You clearly bought two large acquisitions in software and other the two couple of more bolt-ons including one that completed last week. Can you just talk about where you want to take this business now from a software perspective? And if you can throw in your thoughts on AI and how you're using AI as part of your software proposition. And maybe you want to comment on whether you think it's a risk given the world's a slightly different view of software event?
Jon Stanton: Yes. Hi, Andy, thank you for the questions. Yes, look, from an M&A pipeline, obviously, 2025 was a very busy year for us and some -- the acquisitions that we've been tracking for several years all came through in a flurry, which was great that we were able to be successful and get them over the line. As Brian said in his speech, it doesn't mean that we sort of went up towards our higher limits in terms of our net debt to EBITDA. So we see 2026 really as a year of coming back down into the normal operating range and using the cash generation to bring the debt level back down. So that's very much the focus. But it doesn't mean that we're done with our acquisition strategy. We continue to see opportunities both in the software world to further develop on the platform that we've built, but also in the more traditional equipment space as well. So while we're going through a year of cash generation and paying down debt, we're going through a process of rebuilding the pipeline so that as we've got headroom, we have the ability to deploy that and compound growth adding to the underlying organic growth that we will see. And as I said, that has the potential to be hardware and software. On the software side, probably much more likely to be smaller bolt-ons such as Fast2Mine type size. We see the big -- and that -- by the way, that -- as I said in my speech, that acquisition is absolutely storming away in terms of what it's delivering so far. The potential to add smaller software businesses into the micro mine portfolio and platform and globalize and drive growth in that way is very, very significant. So the potential to do smaller bolt-ons in software is very much there and in the back of our minds. And I think now having been through a period of consolidation, most of the software businesses of scale that are mining specific have now gone to strategics basically. So I think RPM Global was the last one of scale that Caterpillar just acquired. So that's the dynamic there. In terms of AI, we're in -- we are stepping back. I personally believe that, as we said in our Capital Markets event in December, AI, big data and analytics, digital capability has a massive role to play in helping mining to scale up and clean up and to deliver on the commodities that are required. So we're embracing it. We talked a lot about it in our Capital Markets event. In terms of the threat aspect of it, when we look at what Micromine does, it's clearly absolutely mission-critical in terms of mining process and mission-critical in terms of safety as well. I think for those reasons, it's very unlikely that customers are going to just kind of unleash Agentic AI on their operations and do away with the need of software. So I think I think for applications like what our software does. I think the threat of that is very, very low. I'd also say that the ability of AI agents to write code that could compete with what we're doing is very, very low as well because our code and the value that we bring to our customers is based on years and years of data, proprietary data, proprietary training materials, it's not public. So an AI agent can't go and write the code based on that data. That's why the software that we -- the two reasons there that the software that we're providing to customers, we feel very strongly is well protected against any threat. Hopefully, that answers your question.
Operator: We have time for one more question. So the last question is from John Kim with Deutsche Bank.
John-B Kim: I'm wondering if you could give us a bit of color on kind of the pipeline versus more recent years. which mineral exposures do you see kind of driving the growth, call it, the next 2 or 3 years? And any color specifically on copper and gold production would be helpful. we understand that pricing is quite sportive, but production volumes have struggled given a number of events. Any color there would be really helpful.
Jon Stanton: Yes. No, I think gold is obviously in a super place at the moment, driven by the geopolitical situation and return of gold is a long-term store of value, government's buying goals. Given everything that's going on in the world at the moment, we don't see that changing. And our customers are running hard to increase production and develop new capacity. So we see that everywhere in the world from a gold mining point of view to the extent that even in North America, very old gold mines that were shut down a long time ago because they were economic or being reevaluated to potentially be reopened. So there's a lot of kind of very old brownfield activity, if you like, going on in gold alongside the production growth drivers on the larger gold mining operations around the world. So I think the backdrop for gold strong. likewise copper supply deficit there emerged earlier than I think people were forecasting driven by some of the production challenges that we saw through last year. Clearly, the long-term demand outlook for copper is phenomenal, and it's great base. It's our largest exposure. We're hopeful that actually some of the locations that did see production challenges last year, we'll start to be able to ramp up, particularly in South America. So we're -- we're watching that closely and talking to those customers about how we can support them and bringing some of that production back up. But clearly, there's a expansion of copper production is a massive theme, and a lot of the pipeline is weighted towards that. Equally, our third largest exposure iron ore, I think despite concerns about the demand environment there, the price has held up very, very well. And particularly for the higher grade iron ores that we're mostly exposed to then the theme there is we continually move towards green steel and hydrogen steel, those higher grades is going to remain in very high demand. So I think that plays to the strength of what we now can do from the comminution capability perspective. So I think for our big three exposures, the environment looks really, really good. But even the areas that have been weaker over the last 12, 18 months, if you think about the PGMs, if you think about nickel and lithium, then those commodity prices have come back up, and we see customers already sort of starting to respond to that. So again, that's probably one of the areas where we would see -- where we would see potential upside from this point in time. And I think the pipeline of broader expansion opportunities, it does cover all of the above. So there's a little bit of everything in there, which sort of again points back to the diversified nature of Weir and the resilience that we have. So the relevance we have is all of the supply of these critical minerals is ramped up. Yes, it's a common theme. We've talked about our peers have talked about it, that the backdrop in terms of demand environment remains very active and strong.
Operator: Thank you. This now concludes the Q&A session. So I'll hand back to John for any closing comments.
Jon Stanton: Thank you, operator. Thank you, everybody, for questions. I appreciate that. And obviously, if there are any follow-up questions during the course of the day, very happy to respond to those as and when. But thanks again for your time today. We do appreciate it. Thank you.